Operator: Good day and welcome to the Onto Innovation First Quarter Earnings Release Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Michael Sheaffer, Investor Relations. Please go ahead, sir.
Michael Sheaffer: Thank you, Jenny, and good afternoon, everyone. Onto Innovation issued its 2022 first quarter financial results this afternoon shortly after the market close. If you have not received a copy of the release, please refer to the company's website, where a copy of the release is posted. Joining us on the call today are Michael Plisinski, Chief Executive Officer; and Steven Roth, Chief Financial Officer. As always, I'd like to remind you that the statements made by the management on this call will contain forward-looking statements within the meaning of the federal securities laws. Such statements are subject to a range of changes, risks and uncertainties that can cause actual results to vary materially. For more information regarding the risk factors that may impact Onto Innovation's results, I would encourage you to review our earnings release and our SEC filings. Onto Innovation does not undertake the obligation to update these forward-looking statements in light of new information or future events. Today's discussion of our financial results will be presented on a non-GAAP financial basis unless otherwise specified. As a reminder, a detailed reconciliation between GAAP and non-GAAP results can be found in today's earnings release. I will now go ahead and turn the call over to Mike Plisinski. Mike?
Michael Plisinski: Thanks, Mike. Good afternoon, everyone and thank you for joining our first quarter earnings call. I'm pleased to report that the Onto Innovation team delivered another record quarter of $241 million, exceeding the high end of our guidance. This represents a growth of 7% over the prior quarter and an impressive 43% over the first quarter of last year. Operating margins at 31% were in line with our long-term operating model despite the ongoing supply chain challenges, which we'll discuss later in the call. Another highlight for the start of the year is the increase in magnitude of volume purchase agreements with several of our top semiconductor manufacturers. We've now closed agreements for 2022 valued at over $390 million for inspection and metrology solutions across front and back-end applications. This represents an increase of approximately 40% over the prior year, exceeding estimates for wafer fab equipment growth by almost a factor of two. We appreciate these expanding partnerships and believe this growth reflects the value of our collaborations and unique combination of software and hardware is delivering to our customers. So let's begin with a review of the first quarter, starting with our advanced node customers. Revenue from this market grew 36% over the fourth quarter, resulting in a Onto record of $100 million in equipment sales. The strongest growth was from our Atlas metrology platform to support expansions in both DRAM and NAND, each growing by over 70% from the fourth quarter. This demand is a result of both customer expansions and an increasing number of critical layers being moved to the Atlas platform. Many of these new layers are referred to as advanced process controller APC layers, meaning our metrology is being used to directly impact the process and therefore requires higher sampling rates. But these layers is essential to have the throughput and the measurement robustness necessary to provide the critical data. The combination of our Atlas platform's industry-leading number of discrete channels and the AI to frac software's unique modeling capability is proving to be one of the best solutions for monitoring complex, nanoscale 3D structures and high-volume production. In addition to metrology for 3D structures, the adoption of Iris cleaner film metrology continues to build momentum and in the quarter, we saw Iris metrology revenue increase with several orders from the new leading NAND customer we announced late in the fourth quarter. We expect additional customers to adopt Iris this year, further expanding our position in this new market segment. Revenue from advanced logic customers was down after a very strong fourth quarter, but still significant and roughly the same as our NAND revenue. We're encouraged by the fact that about 40% of the logic revenue was in support of 3-nanometer FinFET process control in R&D and pilot production. We review this – we view this as a good early indication for significant future demand when these customers move to higher volumes. Now turning to the specialty and advanced packaging markets, our Dragonfly G3 set another record for sales and was adopted by 12 customer sites where we were not previously the inspection process tool of record. These new opportunities spanning both front and back-end applications were opened up because of the high speed and submicron sensitivity of the Dragonfly G3 combined with exclusive features like our Clearfind and TrueADC technology. Adding to that, an emerging need for defect control on both edge and backside surfaces is proving critical for advanced packaging of chiplets and HBM3 memory packages. Current solutions on the market are not meeting the customers’ requirements. And to address this need in close cooperation with the top three semiconductor manufacturers, we developed the EB40, a powerful new module for the Dragonfly G3. The new EB40 module provides high resolution, high speed inspection of these secondary wafer surfaces. The initial success has already led to a volume purchase agreement totaling over 70 million from this customer over the next six quarters. We expect several other customers to adopt this technology throughout the year. We also see investments in interconnect technology to enable panel-level packaging for heterogeneous devices. The advantages for heterogeneous devices and system performance, power consumption and form factor are well documented. However, the current cost and production constraints of legacy and sub five nanometer wafers provides another incentive for designers to leverage chip architectures, to optimize circuit T for specific design nodes and create leading edge and cost optimized devices. So to enable this shift to heterogeneous devices, a significant increase in panel manufacturing is required. A J.P. Morgan Taiwan report estimates that from 2021 to 2025 manufacturing capacity for these finished panels will expand with a compounded annual growth rate of 20%. Processing these panels is complex with a lot of inherent variation in the process materials compounded by shrinking into connects and increasing numbers of layers printed on both sides of the panel. The first two JetStep X500 lithography systems are making steady progress through our customers’ product qualification stages, which include qualifying their process. This means that together with our customers, we're working to identify opportunities to improve both the tool in the process. Through this effort, we're also demonstrating Onto’s strategic value by broadening the discussions to include process monitoring and control solutions to actively adjust equipment based on the advanced analytics we've developed. We've won two such engagements and expect a third panel yield engagement to be added in 2022. Now I'll turn it over to Steve for the Q1 financial highlights and the second quarter guidance. Steve?
Steven Roth: Thanks Mike. Good afternoon, everyone. I'll start by providing some details on our Q1 results and follow-up with the second quarter guidance. As Mike mentioned, we had another record quarter with first quarter revenues of $241 million, above the high end of guidance. You can hear me?
Operator: Please, go ahead, sir.
Steven Roth: I speak and my audio is not coming through.
Operator: I can hear you at this time. This is the operator.
Steven Roth: Okay. Can you hear me now? Okay. I think there is something that I kicked off. Let me start over. As Mike mentioned, we had another record quarter with first quarter revenues of $241 million above the high end of guidance, which was achieved strong demand of our process control business as we did not recognize any revenue from our initial JetStep photography systems in the quarter. We also are pleased to have delivered our ninth consecutive quarter [indiscernible]. 
Operator: Your line seems to be cutting out again, sir.
Steven Roth: Okay. I'm not sure why.
Operator: Right now I can hear you.
Steven Roth: Okay. Hold on one second. Right. Can you hear me now operator?
Operator: Yes. Yes, sir. You are coming through, I can hear you clearly
Steven Roth: [Indiscernible] percent of sales and experience no – operator I keep cutting out of this call.
Operator: Yes. I can hear you at this time, but do you need to establish a different phone line perhaps?
Steven Roth: Let me, can I? I don't know, I don't have a separate phone line to dial-in line.
Operator: We can hear you clearly at this time, sir.
Steven Roth: Yes. Hold on one second. I'm going to move. Operator?
Operator: Go ahead, sir.
Steven Roth: Can you hear me now?
Operator: I can hear you at this time. Yes, sir.
Steven Roth: Okay. I apologize to everyone on the phone. I'm having problems, obviously, my phone service. Breaking down revenue by market, we saw strength in the advance middle market, as Mike mentioned, which represented 42% of sales. Our specialty device and advanced packaging market represented 41% of revenue and experienced the slowdown in the quarter, primarily from RF customers after a strong Q4. Finally software and services decreased slightly from the prior quarter. So up 17% year-over-year and represented 17% of revenues. Gross margins were 54.3%, up from 53.8% in the same period a year ago and down from 54.9% in the fourth quarter. That has been widely publicized by others in the industry. We are experiencing multiple cost pressures from our supply chain that have impacted our gross margins. We have accelerated inventory deliveries to help mitigate unexpected supply chain disruptions. It impacted production and customer shipments or commitments. We have also seen increases in commodity and chip pricing difficulty in supply availability and a significant increase in logistic costs due to high demand and China lockdowns, where possible we are working with suppliers to influence second sources and increase adoption of our newer higher value systems. First quarter operating expenses were $56.8 million and increased $1.9 million from the fourth quarter. Increases primarily due to higher corporate and payroll taxes associated with variable stock based compensation in the quarter, as well as higher office expenses. As we began reopening our facilities, even with these inflationary pressures that we talked about, we were able to tightly manage our discretionary expenses and which resulted in a 31% operating margin for the quarter. Net income increased in the first quarter and was $65.6 million or $1.32 per share and above the high end of our guidance. In the fourth quarter, we reported net income of $61.2 million or $1.23 per share. In addition, we received additional tax benefit as a result of new tax rules regarding mandatory capitalization of research and development costs, which became effective beginning of this year. There having discussions that the new rules may be repealed. However, if they do stay in effect, but currently expect our effective tax rate between 13% and 14%. Moving to the balance sheet, we ended the first quarter with a cash position of $542 million, up $31 million from Q4. Accounts receivable increased to $207 million in the quarter. And our days sales outstanding increased to 78 days. Our inventory increased to $263 million in the quarter on higher plan sales for the second half of 2022 and continued acceleration of inventory deliveries that I just discussed as a hedge against supply chain disruptions. Now, turning to second quarter guidance, we currently expect revenue for the second quarter, from our process control business to be between $234 million and $248 million. Our guidance range excludes the potential revenue from lithography systems to the uncertainty and timing of revenue recognition and the growing magnitude of the systems revenue, which could be as high as $20 million in Q2. Earnings per share in the revenue range is expected to be $16 and $35 per share. We expect that our gross margins will hold steady at 54.5% plus or minus 1% primarily accounting for the impact we see from the supply chains. And again, this guidance does not include lithography systems. Operating expenses, we are aggressively hiring to support our growth and we perform our annual compensation adjustments in the beginning of Q2 and where we currently anticipate that we are – our operating expenses will increase in the second quarter and be in the range of $57.5 million to $60.5 million. With that, I'll turn the call back to Mike for additional insights on Q2 and the remainder of 2022. Mike?
Michael Plisinski: Thank you, Steve. I'm glad your phone is working. Using the midpoint of guidance for the second quarter, we're projecting 33% growth for the first half of 2022 versus the prior year, which is well ahead of the current consensus for annual wafer fab equipment growth. As we discussed our performance reflects not just the strong markets, but our growing position within these markets. And as Steve mentioned, this does not yet include any lithography systems. In the second quarter and for the remainder of the year, we see 3D NAND investments being the largest contributor to growth. The current transition to high stack 3D NAND is still in the early stages. We estimate that by the end of this year only 10% of NAND will be greater than 176 layers. We expect that number could be as high as 80% of NAND by the end of 2025. In addition to leveraging our core Atlas OCD metrology, we’ve been closely collaborating with leaders in high stack NAND to demonstrate the benefits of the aspect metrology and MetaPULSE acoustic metrology for critical high stack NAND applications. As a reminder, unique benefits of Aspect and Atlas metrology combined to provide fast and accurate channel whole metrology, which is critical to yields. We expect to add our second customer for Aspect metrology in this quarter and possibly a third by the year end. In addition, we’ve learned the control of the amorphous carbon film thickness is critically important for proper transistor formation in high stack 3D NAND. As these films become thicker, the MetaPULSE is inherently non-destructive on product measurement capability is proving to be the safest and most accurate source of this critical data. We expect this to be a significant new driver for the MetaPULSE technology, adding to the already strong demand from expanding RF and power customers. To support the growth in DRAM, NAND and Logic, the generally conservative silicon wafer manufacturers are increasing capacity over the next year. This creates demand for our element material systems, where we are best-in-class for carbon and oxygen metrology and our NovusEdge on patterned macro inspection systems where we are 5 times more sensitive at the wafer edge than our competition. Based on the backlog, we have, we expect both products to increase in revenue in the second half of the year and continue to grow into 2023. So with end market demand expected to remain healthy through the year and the additional tailwinds from new applications such as panel lithography, 3D NAND and expansions in silicon wafer manufacturing, we maintain our view that the second half of 2022 will be stronger for Onto Innovation than the first half. Of course, this assumes no unforeseen supply chain or geopolitical impacts, which is certainly a factor, but remains very difficult to predict. And with that, we’ll open the line for your questions. Operator?
Operator: Thank you. [Operator Instructions] And we’ll go first to Craig Ellis of B. Riley Securities.
Craig Ellis: Yes. Thanks for taking the questions and congratulations on the strong execution. Mike, I wanted to start with just a point or a question on one of the operating dynamics you talked about the volume purchase agreement, so clearly very strong customer engagement with on to year-to-date with the I believe it was $390 million. The question is just how should investors look at the potential for you to add any further volume of purchase agreements through the year? Do you typically do that mostly in the first quarter or is that something that is built on over the course of the calendar year?
Michael Plisinski: Generally, it’s in the fourth quarter leading up, but we had a few of them through negotiations and also they were still refining their own plans based on supply chain challenges they were having. So a couple of them drifted into the first quarter, but generally they’re all locked up in the fourth quarter.
Craig Ellis: Got it. And then clear message that 3D NAND is going to be an area of strength as we look at the second quarter in the back half of the year. But if you were to been out some of the end use areas and rank them below 3D NAND, how would that look for Onto Innovation this year?
Michael Plisinski: Well, we still see a pretty strong demand from the packaging customers. I mentioned the work on the EB40 and the demands that I highlighted there. That’s going to be a pretty strong contributor throughout the year. And then I’d say below that DRAM remains pretty strong. I mean there’s a lot that’ll go on in the fourth quarter. We believe, there’s a lot of factory expansions, some have slipped from third quarter to fourth quarter pretty well publicized. So part of that is DRAM. So I’d say that would be our third. And then of course, lithography, which would fit into packaging, but the panel lithography is separated as we wait for the signoffs to progress.
Craig Ellis: Got it. And then I’ll just flip it over to Steve for one question, hopefully, the lines working on your end, Steve. On the tax item that you mentioned, what was the percent and earnings per share benefit in the quarter. And I think you said if this persists, it would mean a tax rate of 13% to 15%, is that correct? Thank you.
Steven Roth: Yes. Can you hear me, Craig? It’s right been closer to like 13% to 14% tax rate. If it persists that’s – we had to put it in place, because it went effective at the beginning of the year. And I’d say probably again, our tax rate typically in the 16% range, 16% to 17%. So it added probably about $0.05 to the EPS in the quarter.
Craig Ellis: Got it. Thanks guys. I’ll hop back in the queue.
Michael Plisinski: Thanks, Craig.
Operator: We’ll go next to Quinn Bolton of Needham.
Quinn Bolton: Thanks guys. Let me just follow-up on Craig’s question there on the tax. What are the chances that it gets repealed or that you won’t be able to continue to recognize that benefit? Is it – do we need a change in tax law to go back to the 16% to 17%? Or is it more company specific?
Steven Roth: Yes, no, no. It’s a change in the tax law. So this was put in back during the Trump administration and it kicked in starting this year, but obviously we talked in the current administration has been tax changes and things like that. So that’s where this rumbling of it potentially going away, but it’s not specifically to onto it, we all got this tax change at the beginning of the year.
Quinn Bolton: Got it. Thank you for that clarification. And I wanted to ask on the litho. I know you’re going through the qualification, but can you give us any sense how far through that qualification are you, how likely is it that you think you might be able to recognize some of that $20 million figure that you’d mentioned in the second quarter?
Steven Roth: I think there’s a good chance. We’ve always said we think Q1 or Q2, but there’s – because of the complexity that it’s not just our tool, but also, for instance, radicals, we’ve had to redo radicals several times as the customer debugs, the radicals printing for the process and with several layers on each side, that’s quite a bit of extra work that is sort of happening in parallel to the qualification of our stepper. So it’s hard to predict, but we’ve – we’re hopeful or we’re optimistic that the second quarter we can see that put behind us.
Quinn Bolton: Great. And then Mike, I follow-up on lithography. I know at the beginning of the year, you put out the statement that your backlog for litho had at that point reached about $100 million. Can you help quantify for us in a high volume panel manufacturing facility, how many steppers would you need in that facility? Is it one or two? Is it more than that? I’m just trying to get a sense as we see panel moving to high volume production. What’s the unit opportunity for high volume factory?
Michael Plisinski: So these are moving into high volume. So the way these lines run, they’re set up as lines, almost like solar lines where you kind of input raw material and output a finished panel, unlike a traditional wafer fab. So each line takes two steppers, one to print the front side, then it’s flipped and printed on the backside. Then it moves to the next step in the line. So I would say the – what we’re seeing for some of these larger fabs is they’re being built to support up to, let’s say 10 lines, maybe six to 10 lines from what we know. I mean, I think that’s changing in the market quickly evolving, but that’s sort of where we’re at now.
Quinn Bolton: Great. That’s very helpful. Thank you, Mike.
Operator: And we’ll move to our next question from Tom Diffely with D.A. Davidson.
Tom Diffely: Yes. Good afternoon. Thanks for the question. A couple more lithography questions for you, Mike. When you look at your backlog, is that mainly the 500 or is that composed of the 2300 and the 3500 as well?
Michael Plisinski: It’s a good question. It’s primarily the X500’s. So I’d say there’s 1Z, 2Zs of the others. I’m not even sure we included those in the $100 million, so I’d say it’s primarily the X500.
Tom Diffely: Okay. And then do you have any – go ahead.
Michael Plisinski: Sorry. I said, like 95% by primarily, quite a bit.
Tom Diffely: Okay. All right. And then, is there any update on your ability to ramp capacity over the next couple quarters?
Michael Plisinski: Yes. That’s another good question. We’re making steady progress. We’ve done a lot of hiring. We’ve brought in some really talented leadership and they’re having an outsized impact, I would say on our progress. Teams are coming together. The talent is coming in and I’m seeing every time I go downstairs, steady for progress, not just on the tool builds, but on how they’re being built. The efficiencies and tracking and moving material and doing the sub assemblies and quality control checks. There is quite a bit that that is required and that we still have yet to do. But progress is really, really positive. I would say, by the end of this year, we should be in fairly good shape, maybe a little bit into the New Year 2023.
Tom Diffely: Okay. And when you look at the orders that go into, I think now 2024, are you the gating factor there? Or is that just when those factories are planned to be built?
Michael Plisinski: That’s another good question. No, I would say we’re the gating factor. Some of them, there are some factories where they’re tied to a new factory buildout, but if we could ship product earlier, they would take it earlier. So yes, we’re a gating factor and we’re working hard to – we’ve already talked about increasing the capacity for 2023, we’re now looking at what it would take to increase capacity again for 2024.
Tom Diffely: Good. And then final question on the Iris. Why was NAND the first product or the first line that adopted Iris? And is it applicable to the other DRAM and logic entries as well?
Michael Plisinski: Well, for sure it wasn’t the first we’ve had probably over 12 or 15 customers in total across a wide range. And the first was a top three semiconductor manufacturer that was from last year. We had another big uptick in the Iris platform. And it was because of a new NAND customer that recently adopted, well, we talked about it in the fourth quarter with the press release fairly large let’s say agreement or purchase agreement, volume purchase agreement, covering a wide range of our product lines, including the Iris.
Tom Diffely: Okay. Thank you for your time.
Michael Plisinski: You’re welcome. Thanks, Tom.
Operator: And we’ll move on for our next question from Brian Chin of Stifel.
Brian Chin: Hi there, good afternoon. Thanks. I’ll ask a few questions and congratulations on the results. Maybe first question more of the gross margin vein. So maybe for you, Steve, but can you quantify what sort of the incremental headwind was in terms of this inflationary cost environment in terms of Q1, whether you expect that to be similar or up in Q2. And also if you get those rev recs in Q2 on the X500s, where do you think, let’s assume that $20 million revenue, what do you think that does to gross margins in 2Q? And I have a follow up.
Steven Roth: Yes. So let’s talk about the first part the supply chain side of it, Brian, I mean, we increased the – so a significant increase in, I think you said logistics and freight costs that probably cost us almost three quarters of a point on the margin. And then obviously we’ve had some obviously supply inventory – supply parts increases too. So, I’d say, I mean, normally we’re at 55% in our core business. And I think that’s where we would’ve been, if it wasn’t for these logistic costs for sure. On the X500, I mean, that’s a little tougher, right. Obviously there’s a big range in there depending on the rev rec. And as we’ve said, initial systems are going to be very low margin, a little margin to low margin systems, obviously, because they were done through as we started ramp manufacturing and engineering build. So, until we have an idea of what actually is going to get rev recs in the quarter, it’s kind of hard to say what – how much that’s going to impact the overall margins. But it’s going to persist. I mean obviously as Mike talked about, mentioned ago, I think we answer Craig’s question. We are in a significant manufacturing ramp [ph]. So, we do expect that to persist throughout the – for the next several quarters as we continue to ramp up building more and more of these systems. So, I think it’s a little early to tell you exactly the impact on Q2 from those systems.
Brian Chin: Got it, got it. I imagine this obviously a big step up in that revenue when it hits this year and then probably levels off and as the other businesses that have higher margins, and you make improvements, you converge with your target model again and maybe next year. And also I guess, Mike, in terms of you made some reference to sort of your exposure to bare away – the bare with silicon wafer market. And clearly, there’s clear messaging that there’s not enough supply out there and for probably many years. And so it sounds like you’re starting to see that capacity expansion hit you in a favorable way, starting the second half of this year. Can you maybe help us size your exposure to that and kind of maybe anything else sort of unpacking that opportunity second half into next year?
Michael Plisinski: Sure. So, as I mentioned, it’s two primary products both are for process control. So, one is for inspection of the edge and backside and the other is for elemental content. So, I mentioned the oxygen and is another material that are critical for us to measure and control for the high end applications of the wafer. So EUV for instance. Both of those products, if I combine them, we’ve talked about, I think in the past around 120 to 140 SAM, that’s addressable worldwide. And so based on the – let’s say the backlog that we have and which actually extends into 2023 for these product lines. I’d say where the opportunity is upwards of 50% of that SAM, maybe more.
Brian Chin: Yes, got it. That’s really helpful. Maybe I could sneak one last one in, and some discussion of sort of backend inspection here, contributor to the VPAs [ph] I think that you referenced Mike. I know a lot of focus in terms of heterogeneous integration and compute market being a big adopter of that. But I think there’s also a pretty good incremental adoption that can come out of smartphone, chip sets, moving to maybe two and a half, three packaging in a couple years ahead. And so I’m just curious if you, this might be difficult, but if you had to fan out like your SAM for backend inspection over the next two to three years, what do you think that growth rate could look like? And I would imagine it’s probably north of expectations for WFE.
Michael Plisinski: Yes, that’s a good question. Because there’s a lot going on in the world of advanced packaging, you’ve mentioned just two. But there’s also hybrid bonding that we’ve talked about I think last quarter, a quarter before we’re seeing a lot of investments there and focus there. And then this new EB 40, which is also a wafer level packaging technique. So as far as a growth rates I would say, I would expect it to be above WFE. I would say that the smartphones from a panel perspective are likely more geared towards the panel level fan out. At least that’s what we’ve seen so far. We have seen some increased demand, four-panel level fan out where that was really hot three, four years ago kind of petered out a little bit and most manufacturers shifted back to copper pillar or decided on copper pillar for a couple generations. Now we’re seeing that shift back to panel level fan out. So those would be lower kind of lower end applications where high performance compute would be in this more panel substrate type application. And then the amount of so the – I didn’t give you a direct answer to your question. The other reason is the growth in panel level fan out there is not a lot of inline inspection. Right now it’s a lot of final inspection and it’s not very high resolution inspection. So as far as inspection and metrology to drive real process control and yield enhancements, this is some new focus for many of our customers. So that’s why we talked about some of these engagements opening up the opportunities for us to co learn and work together to drive improvements and margins for these lines. And therefore hopefully drive a lot of potential inspection business for us from that perspective. And to give you an idea, what we’re hearing is yields for some of these lines are in that 30% to 80% range, which is a wide range, but even at 80%, it’s not very, very high yields.
Brian Chin: Okay. That’s great. A great color. Thanks.
Operator: And we will go next to Dave Duley of Steelhead.
Dave Duley: Thank you for taking my question. I was just wondering you've given us lots of data on multiple products that you talked about during your prepared remarks, as far as the 3 nanometer ramp-up, when would you expect to start to see a more significant volumes for that?
Michael Plisinski: I would say next year, maybe early. We had originally hoped the end of this year and there was some changes to our customer's plans, but I would hope that that demand is still high. We still see, as you saw 40% of our logic revenue, the amount of pilot and R&D investments was so significant that it amounted to 40% of our logic revenue in the quarter. So I think there's – there's a lot of activity and I would call that in preparation for a ramp. So I'm optimistic that we'd see that in the first half next year.
Dave Duley: Okay. And you've exceeded your revenue targets in the first quarter and talked about how the second half of the year is going to be bigger than the first half of the year. I haven't done the math and I was just kind of curious if wafer fab equipment grows in this, let's say 15% to 20% range, where do you think Onto will shake out?
Michael Plisinski: Above that? Based on what I said it would be – it'd be north of 23%. I mean, I think flat. If we were quarter-to-quarter flat that's around 23%. So since I said above, you'd have to guess at how much above, but it would be above 23%. So either way, even if we were flat we would be ahead of the WFE as you described it.
Dave Duley: Excellent. Now I asked this question last quarter, I was going – I think you gave us some commentary in your prepared remarks, but as you ship out these lithography tools where are you with providing a package of metrology inspection in software to applications into schools along with them?
Michael Plisinski: So for panel level fan or applications, actually, we've got a significant traction there. We have several customers already adopting the StepFAST which is our branded solution, which integrates software inspection, the Firefly and our stepper, the JetStep 3500 that's a fully integrated turnkey solution. And so that's adopted, I think we now have four – three or four customers panel level fan out customers. Most everyone who's ramping panel level fan out is adopting that solution. The, and we have a couple others interested in it, talking about for their new lines looking at that same technology. Then moving to the X500 customers, as I mentioned there – we're still in the learning phase with them. So there's applications we think that we can bring to bear and there's a lot of willingness and openness to work with us. So we've been putting together a team, a cross functional team to work with select customers and drive some level of yield improvement by looking fab-wide software opportunities or the data that the fab-wide software can provide areas where we can then apply certain process, control techniques to feed into the lithography, which is one of the biggest determining factors of the yield in order to improve the overall line. So it's early stages for that second group.
Dave Duley: Okay. Thank you.
Michael Plisinski: You're welcome.
Operator: [Operator Instructions] And we'll go to Mark Miller with The Benchmark Company.
Mark Miller: Congratulations, on another record quarter. I was just wondering, terms of the backlog in the profile the products in the backlog. Is it similar to the margins you've recently been reporting or is it above or below in terms of the margins of the equipment in the backlog? What you've recently reported?
Steven Roth: So you're asking about our total backlog Mark, I mean, is like, if I look at – yes, so it would be close to, I mean, pretty much the corporate, the normal corporate process control margin. I mean margins, because it is obviously the same mix between metrology, inspection kind of concomitant with the business. There's no uneven waiting in our backlog right now between metrology inspection. I mean, and then you obviously talked about the litho, it's got a $100 million on top of that, but that's what you're asking.
Mark Miller: Right.
Michael Plisinski: So I think to add a little color there's several of the VPAs include some of the new products. And so those will have certainly much higher margins than the previous products. They add more value and they provide more value to sort of, what would might dampen that is then the, the amount of lithography that's in our backlog. And that of course has much lower margins. So Steve's answer that it's about, around the corporate, that makes sense. But I just wanted to add a little color that for sure, in our backlog, we're seeing a lot more adoption of the new products that do have higher margin with the exception of the lithography.
Mark Miller: And what was your cash flow from operations for the quarter in CapEx and CapEx?
Steven Roth: So cash flow from operations is about $45 million CapEx is like $2.5 million. So about a 43 for cash flow.
Mark Miller: Okay. And then your anticipation of a stronger second half, is that a confidence coming from the backlog or anticipation of just better business, especially from the membership people or both?
Steven Roth: I mean, can you say that again, Mark?
Michael Plisinski: Yes, Mark can you repeat the question?
Mark Miller: Sure. I’m your anticipation of stronger results in the second half of the year compared to the first half of this year, is that from your visibility in the backlog or anticipation of better business, say coming from NAND and DRAM customers?
Michael Plisinski: I would say it's mostly the backlog, but also the discussions we're having with our customers about their ramp plans. They're still push, pulling on us very hard for equipment. There's a little bit of movement, like I mentioned with some of the customers ramps, but overall the demand environment, is still very strong and our backlog continues to grow. So I'd say that yes, it's combination of both.
Mark Miller: Thank you.
Michael Plisinski: Welcome. Thank you, Mark.
Operator: And it appears, there are no further questions at this time. I'd now like to turn the conference back to Michael Sheaffer for any additional or closing remarks.
Michael Sheaffer: Thanks, Jenny. And we'd like to thank everybody for joining us today. The replay of the call is going to be available on our website by 7.30 Eastern Time this evening. We'd like to thank you for your continued interest in Onto Innovation and everyone have a great day. Jenny, please conclude the call.
Operator: And this concludes today's call. Thank you for your participation. You may now disconnect.